Kaarlo Airaxin: [Foreign Language] Excellent. Well, Luis, please walk us through the Q3 and give us a glimpse on the future ahead. The floor is yours.
Luis Gomes: Thank you very much. Just asking the slides. Thank you very much. If we go on to the next -- to the first slide. So we had a strong or reasonably strong third quarter for the year. Our net sales were slightly down on last year for the same quarter. But last year, we're coming back off a bad second quarter. So we had a bit of a spike in the third quarter. We usually expect this to be a quarter with slightly slower in relation to others because there are holidays, summer holidays, summer breaks for ourselves and for our suppliers and also for our customers. So we usually expect to be a slightly quieter quarter. But nevertheless, we maintained the positive EBITDA. And -- the thing that we were less happy about was the cash flow that was very negative, but we expected that to some extent because we had large prepayments on many projects that were now -- we were now paying suppliers, we were paying subcontractors. And that is part of the reality of our business that this goes up and down during this period. Our order backlog has also gone down mostly because we are now waiting for new orders that we have been working on for quite some time. So we have focused our sales force in addressing those big orders. We are waiting for them. They are later to be contracted than we wanted. They are still there. We are still working with them. We are still going through negotiations and discussions with the customers. Probably chief among those orders is Sterna that has been commented quite a lot. We are still waiting for that. And because of that, our order backlog is waiting for those large new orders to come on, but they are late. And of course, our sales force has been very focused on that. But overall, for the year, we are still ahead of last year. We are doing bigger net sales. We are still in positive EBITDA territory. So in general, things are going okay, good even. We have had to announce a reduction in our guidance. I'll get to that in a bit. But that reflects the later arrival of new orders. We can go on to the next slide, please. So as I said, for the year, we have a strong positive EBITDA ongoing. And a lot of this is coming from the -- on the back of our sales of data and services. Not only that is growing in terms of net sales, but we still maintain a very good profitability. And that is contributing very positively to the overall performance of the company and particularly for our positive EBITDA. And this is now the fifth quarter in a row that we have maintained positive EBITDA. And this is something that for us represents quite a positive outcome over the last few years after many years of very variable results. On to the next slide, please. So as I mentioned, we had to announce new guidance for the year, largely due to the fact that some one large new order Sterna is delayed, but also because we have an issue with one of our suppliers on the SKAO project. And those 2 things have reduced our guidance for net sales for the year because we have not been able to do as -- or to recognize as much revenue as we would expect. And we also do not believe that we can maintain a positive operational cash flow for the year, but we still maintain the guidance of a positive EBITDA. Now we have done several actions over the year to mitigate these. We have been waiting until -- the last quarter was the one -- the Q4 was the one where we expected this -- both Sterna to come on and also to have a big revenue recognition from this one project, SKAO project. So when we realized that, that was not happening that we could not meet that, that's when we provided the update. We have nevertheless taken some measures. So there are people that we have not increased our staff, for instance, in preparation for Sterna. We are delaying hiring people to meet the start of that project. We have also done -- we have trimmed our workforce across the Board throughout the different sites to become more efficient throughout the year. So we have taken a few measures to actually mitigate to some extent these delays that we are seeing. Going on to the next slide, please. So just to give an update on Sterna. This is a big European program. It's a big European project. It requires the agreement of different countries. It requires the agreement of different meteorological services around Europe. And what EUMETSAT, the organization that ultimately is the customer has told us is that in July, when they tried to actually secure the agreement of all these countries, 5 countries did not commit and one in particular, needs to commit because not only of budget, but also of their importance in the European meteorological sector that is France. So France, as many might know, has had some issues with the government, and there have been a [ refugee ] issues in the country. And this has all made it harder for the country to commit to the project. We believe still they are still interested. They have committed in the past, said that they would support it, but we have to wait. And what that has meant is that EUMETSAT could not actually give the go-ahead to the project. This doesn't mean that we are not working on it with a prime contractor with ISA, the European Space Agency that is responsible for the implementation of the Sterna project. So that is discussions, negotiations are ongoing. So there are many, many ongoing activities around Sterna, but the reality is that the project -- the award of contract is late. We expect it to have it in quarter 4 this year, and we are now expecting it in quarter 1 next year, subject, of course, to the EUMETSAT Council agreeing this that the project can go ahead. If we go on to the next slide, please. Other events. So the other big event that had an impact on our net sales for 2025 is the SKAO project. So this is a program that we are doing supplying equipment for telescopes, radio telescopes actually on the ground. And what happened there is that one supplier was selected by the customer. The customer said you have to work with this supplier. And there has been a technical disagreement between them in terms of performance about what they are delivering. So we are basically between these 2 parties. But we are -- we believe we are closing on the resolution. But what this has caused is that about SEK 30 million in revenue that we expected to recognize this year, we could not recognize. So that -- this has had a big impact on our net sales for the year. As I say, we are working with both parties to resolve the problem. So we are doing tests. We are doing simulations to show that things work. But this is an ongoing process that we are currently undertaking. So we expect to resolve it, but it's just taking longer than what was planned. And in view of all of these changes, we have actually -- and I know that I have mentioned that I will be presenting a long-term outlook for the company. But because of these changes and because of the changes like, for instance, Sterna has quite a big impact on our forward look. We have decided to delay that presentation that show of what -- where we are going just to let us to see how things happen, when they happen, what are the timings as they have quite a lot of impact on our workload. And so the way we go forward depends on that. At the same time, as I mentioned, we have been streamlining throughout this last year, our operations on missions and systems and products, sorry. As many of you will know, we have shown a reduced order intake, particularly on missions. So we have reduced the amount of staff that we have dedicated to that part of the business. But at the same time, we have had quite good news on our product side. So we had the first CubeCATs delivered earlier this year. So that's our laser communication system. So the first 2 have been delivered. And looking more towards our services side, things continue to grow, to expand and to be very successful. YMIR-1, our dedicated VDES test bed satellite has demonstrated link -- VDES link for the first time in orbit. We are now doing several tests and evaluations with potential customers. We are working with some coast guards. We are working with organizations that are trying to bring in VDES into their operational day-to-day setups. And so we are actually seeing quite a lot of demand for those services, and we see that as a very successful outcome for the last few months for the company. And in that vein, in our maritime intelligence side, we also announced recently that both Sedna-1 and Sedna-2 are now fully operational. So that's quite good for us for our -- particularly our ship tracking AIS business. That is something that having more data is an important part of our business and to grow that side of the business. So we are seeing quite a lot of success in our data and services business. And -- also product admissions, although we are in a right way right now in a bit of a waiting period, we still expect it to be very successful, and we have quite a very strong pipeline on that part of our business. We go to the next one, please. So looking ahead, what we expect to see in the next few months coming. We do expect our order backlog to recover in 2026. As I said, we have a strong pipeline, both on the data and services, but also on the products and missions that we are building. So we expect that recovery to happen. We have launched of VIREON-1 forecast for quarter 1, 2026. So that is something that our teams are focusing very much right now on, preparing the satellite for launch. And INFLECION Phase 2 is approaching. So we are now in contract discussions. We are now with proposals. So we are now just in that final point of securing that second phase with our customers. So that -- all these are quite a lot of -- this represents quite a lot of activity for our teams right now. And next one, please. I think -- the next one, please? Or is this the last -- so I believe this is -- it might be the last one. So this is where we are right now. And I'll open the floor for questions.
Kaarlo Airaxin: Right. Thank you. Yes, exactly. I believe there was a last slide saying that this was the last slide. But we have received a lot of questions ahead of this broadcast, and I can see that people are using the live chat as well. But I'll just make a reflection here. And so this result was a bit of a mixed bag because the Q3 was down year-on-year, whereas the 9 month was up year-on-year. So what do you think that we in the market should be looking for? Shall we not focus so much on the quarterly and then see this as, let's say, a long-term business and perhaps look at the 6 months and 9 months?
Luis Gomes: I usually say that my preference is to look at on a yearly basis. Of course, when we are just coming from restating our guidance or changing our guidance for the year, this might sound strange. But I still think that as a business, if you look at the types of projects we are working on, the types of deliveries we do for our customers, quarterly tends to be quite a narrow time frame. Things change quite dramatically in a quarter. So usually, I prefer to look at on a yearly basis. That's a more -- or a 12 months basis. That's a more accurate way of seeing how our business is doing. Of course, we are still -- if a quarter is the last quarter for some reason, some orders move to the next year, we have a big change. But yearly is a better time scale.
Kaarlo Airaxin: Right. But then again, if you're listed on the market, the curse is the quarterly. So I will just throw in a couple of questions here. So margins in the segments, data and services fluctuated significantly between quarters. Why and how should we think about this as the constellation grows going forward?
Luis Gomes: So data and services, there have been a few one-offs on our data and services that have improved dramatically our profitability. But it is still a strong profitable business. Our EBITDA there are still in the 36%, I believe. So there are events sometimes that increase that. On the other hand, we have also increased our sales force, for instance. We have grown our team that is actually on the ground, talking to customers, selling more services in preparation for the new satellites for the new constellations. So we expect to maintain a strong profitability and actually grow the profitability in the future. But it will vary, particularly now while we are building the business, that part of the business.
Kaarlo Airaxin: And also, I'll just throw in another question that I just received here from the sideline, and that's a more general question. Would you be able to elaborate a little bit of orders from the defense side? Any comments, any updates? What can you tell us?
Luis Gomes: We can't talk too much about what we are doing on defense right now. There are several conversations ongoing. It's an area of interest for us. We already do work, particularly on our ship tracking business. A lot of it already goes to the security, defense and security market. Many of our products end up in defense-related satellites, but we do have a few other conversations ongoing. We can't talk much about them right now, but I can assure you that there is quite a lot of interest from that side on our products and our missions and our technology.
Kaarlo Airaxin: Okay. And I have a couple of questions here from EUMETSAT and Sterna. And just to recap here, if I understood you correctly here, it's the delay of the decision is very much out of your hand. So it's more of a European community problem where we have an internal problem in France. So it's not really connected to Sterna. That would be the right interpretation.
Luis Gomes: Yes, it is. So these big programs usually require full agreement from all countries on EUMETSAT, unanimity. And sometimes that is not reach -- that cannot be reached. And that does create an issue. I believe this was the first time that in a program of this magnitude that was seen that happened. So it was a bit unexpected from everyone, but it's something that is outside our control. We can help by making sure that what we are offering is good and it is appealing, but we can't control politics at European level.
Kaarlo Airaxin: No. Well, maybe they can't either. But -- and also, this is -- I'm just reading from one other question here. And I think that, that is also connected to Sterna and the contract. Despite the fact that there is no decision, can the contract still be negotiated ahead of any award? What is the process there?
Luis Gomes: So the process is that we are discussing with the European Space Agency, they are with our prime. So our prime is OHB Sweden. So we are discussing with the prime, and they are discussing with the European Space Agency. So discussions -- the setup of the contract, the technical discussions are all ongoing. It's just that we don't have yet the go-ahead. But all the preparatory work is being done now.
Kaarlo Airaxin: Okay. And I have some cash flow discussions here, but I'll just pop one up that I received ahead of this, and that's you've been given extended overdraft facility by the banks, I take it. What does that mean? What can we read into it? What would you like us to read into it?
Luis Gomes: It means that the space business is very what we call lumpy. So you have large orders, you have -- sometimes you have to pay suppliers quite a lot of money in times when you need a certain amount of flexibility. At the same time, we are also investing in our own constellation during that period. So having that -- having those facilities gives us the flexibility to be able to manage our cash and not having to stop investing, for instance, because we have a big outflow to our subcontractors. So it allows us that flexibility. And that's what we have been trying to build is that flexibility into the business. That is naturally quite variable in terms of cash.
Kaarlo Airaxin: So it gives you, let's say, a cushion to continue with operations and perhaps expand operations there. And maybe that, in a way, answered the next question, which is you're not able to have a positive cash flow from operations and the mechanics there. So basically, it's you -- would that be a quarterly situation that you would have a negative cash flow in one quarter and then you have a positive due to the lumpiness of the business?
Luis Gomes: Yes, that's usually what happens. So quarters are very variable when it comes to cash. So we expect that our target for not this year probably, but for the years following is to continue to have annual positive operational cash flow. So that's something that we want. That's something that we have thought very hard for. But we are still very dependent on large programs coming in coming then payments to subcontractors. So it's very variable. And in that context, quarter-to-quarter, we'll still see some very big variations.
Kaarlo Airaxin: And I would just read a couple of questions here from the chat as well. Although we have talked a little bit of data services net sales, can we expect the data services net sales to stabilize or grow quarter-to-quarter going forward? Or should we be more patient and perhaps look half year and 12 months?
Luis Gomes: We expect -- in terms of sales, we expect it to start growing next year. I would expect with new satellites coming online, we have -- middle next year, I would expect it to start seeing an uptake of our data and services. But that's because new satellites are coming online, and that should also improve our profitability at the time. So I do expect it to grow probably on a quarter-to-quarter, but you'll see it more on an annual basis.
Kaarlo Airaxin: And we have a technical question here. Well, more or less technical. So have you decided on the number of satellite in INFLECION yet?
Luis Gomes: So the baseline continues to be 12, but we do have a few opportunities to grow that number. So we stick to 12 for the time being. That's our design target. There are options for more.
Kaarlo Airaxin: Yes. So yes and no. 12, but it could be increased.
Luis Gomes: Yes. It's something that we are still in Phase 2. We are entering Phase 2 of INFLECION. So this is when we will probably make the decision.
Kaarlo Airaxin: Yes. Another way to -- well, or a segue to that question would be then, so you have decided on 12, but if there is an opportunity to increase that, you would be able to do that. Yes, all things considered.
Luis Gomes: And also, even outside the INFLECION program, we have options to actually include. We could build more satellites, for instance. So we have been looking at that possibility. So there are opportunities even without INFLECION. But within INFLECION, yes, we could have more satellites if we decided that there was a market for them.
Kaarlo Airaxin: Yes. And if we look at the order backlog, you have previously stated that you have a good visibility and this time, it has decreased and well, connecting that to the visibility, could you just walk us through why? And what can we expect in the future? Do you address that? Do you need to address that?
Luis Gomes: So as I say, probably the big item has been Sterna on the order backlog. It is a huge thing. As I say, because we are in negotiations, we are in discussions, a lot of our sales force, a lot of our people that actually -- our sales and business development people have been involved in that. And we are focused on that work. It is the case that sometimes we have to focus on some of these bigger orders. And then if they don't come through, then we have a delay on our reduction on our order backlog. But nevertheless, the pipeline remains very strong.
Kaarlo Airaxin: So more to come. And I'd just like to -- well, highlight because I observed that DNB Carnegie recently initiated the coverage of you with a fair value of 106, which is above today's print. And I don't really need you to comment on their target price. But if you don't mind, I would like you to comment on 1 or 2 of their assumptions, if that's okay with you. And in case of Sterna, they expect -- well, or mention initial order value of around EUR 5 million to EUR 6 million for the first 6 satellites while you as a company have previously communicated a total project value of around EUR 60 million. That doesn't necessarily mean a contradiction in terms because there's a difference between 5 and 6 satellites and you are mentioning 12. But could you elaborate a little bit on that?
Luis Gomes: I would say that, that guidance is incorrect. So we stick by the total project is worth a lot more. It's worth more than EUR 60 million. So I think they underestimated quite badly the number.
Kaarlo Airaxin: And in the report, they compare you to several international satellite operators. And when you look at the stock market, it's -- well, we're in the stock market, we like peer groups. Do you agree with their peer groups? And if anyone wants to know them, I refer them to the report because there's a number of peer groups. Are you comfortable with peering?
Luis Gomes: In general, yes, I think they are representative of our sector, even if in some cases, they -- the mix of their business is a bit different from ours. But they represent different parts we operate in. And in that sense, yes, I'm satisfied with that.
Kaarlo Airaxin: And they use key metrics would be EBITDA margins and sales. And yet again, not going into your internal key metrics, but for the market, that would be good metrics to look at, I take it.
Luis Gomes: Yes.
Kaarlo Airaxin: And in that case, would you expect -- would it be possible for you to reach some SEK 370 million, SEK 375 million in sales for the next years -- for the next year, I should say?
Luis Gomes: Yes, I think so. I think that's a perfectly achievable number if we look at the kind of pipeline we've got right now. So yes, I'm fairly comfortable with that assumption.
Kaarlo Airaxin: Yes. And then also, I received an interesting -- well, an interesting question for many companies listed in Sweden and reporting in Swedish krona. Do you expect the exchange rate difference to further impact Q4 and 2026?
Luis Gomes: As always, you're asking me to guess the international markets that is something that is quite difficult. We try to hedge a lot of our debt on currency. We also operate a business that is very varied across different countries. So yes, we expect it to have an impact. But at the same time, we usually are fairly comfortable because as I say, we buy and sell in many different currencies, and we always -- we tend to hedge all of those. But when it comes to reporting, yes, we expect that to have an impact.
Kaarlo Airaxin: And one of the key words there were many currencies. And forgive me my ignorance here, but would it be fair to say that particularly towards the Swedish krona, that would be more, let's say, a translation rather than a transaction, you buy and sell in euros or dollars, but you report in krona? Or should I look at it in another way?
Luis Gomes: No, it's exactly that. So we tend to operate very much in euros, British pounds, in dollars. That is a lot of our operation maybe that's in those currencies. So it's more how we translate that into our reporting.
Kaarlo Airaxin: All right. All right, Luis, thank you for that. Considering the time here, it was very educational. And there's a lot of questions out there. And any one of you who needs to have more information or granularity when it comes to the satellites and other programs, we would guide them towards yourself, and that will be your web page, I take it.
Luis Gomes: Yes, that would be a great place to start. And if you want any more -- if you want to discuss anything, Håkan will be more than willing to actually direct you to the right people.
Kaarlo Airaxin: Excellent. And Håkan, that would be the Head of IR. So with that, Luis, I thank you so much, and I wish you the best.
Luis Gomes: Thank you very much.